Operator: Good afternoon. I will be your conference operator today. At this time, I would like to welcome everyone to Applied Optoelectronics' First Quarter 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions]. Please note this event is being recorded. I will now turn the call over to Lindsay Savarese, Investor Relations for AOI. Ms. Savarese, you may begin.
Lindsay Savarese : Thank you. I'm Lindsay Savarese, Investor Relations for Applied Optoelectronics. I am pleased to welcome you to AOI's first quarter 2025 financial results conference call. After the market closed today, AOI issued a press release announcing its first quarter 2025 financial results and provided its outlook for the second quarter of 2025. The release is also available on the company's website at ao-inc.com. This call is being recorded and webcast live. A link to the recording can be found on the Investor Relations section of the AOI website and will be archived for one year. Joining us on today's call is Dr. Thompson Lin, AOI's Founder, Chairman, and CEO; and Dr. Stefan Murry, AOI's Chief Financial Officer and Chief Strategy Officer. Thompson will give an overview of AOI's Q1 results, and Stefan will provide financial details and the outlook for the second quarter of 2025. A question and answer session will follow our prepared remarks. Before we begin, I would like to remind you to review AOI's Safe Harbor statement. On today's call, management will make forward-looking statements. These forward-looking statements involve risks and uncertainties, as well as assumptions and current expectations, which could cause the company's actual results, levels of activity, performance, or achievements of the company or its industry to differ materially from those expressed or implied in such forward-looking statements. In some cases, you can identify forward-looking statements by terminology such as believes, forecasts, anticipates, estimates, suggests, intends, predicts, expects, plans, may, should, could, would, will, potential, or thinks, or by the negative of those terms or other similar expressions that convey uncertainty of future events or outcomes. The company has based these forward-looking statements on its current expectations, assumptions, estimates, and projections. While the company believes these expectations, assumptions, estimates, and projections are reasonable, such forward-looking statements are only predictions and involve known and unknown risks and uncertainties, many of which are beyond the company's control. Forward-looking statements also include statements regarding management's beliefs and expectations related to the expansion of the reach of its products into new markets and customer responses to its innovations, as well as statements regarding the company's outlook for the second quarter of 2025. Except as required by law, AOI assumes no obligation to update these forward-looking statements for any reason after the date of this earnings call to conform these statements to actual results or to changes in the company's expectations. More information about other risks that may impact the company's business are set forth in the Risk Factors section of AOI's reports on file with SEC, including the company's annual report on Form 10-K and quarterly reports on Form 10-Q. Also, all financial results and other financial measures discussed today are on a non-GAAP basis unless specifically noted otherwise. Non-GAAP financial measures are not intended to be considered in isolation or as a substitute for results prepared in accordance with GAAP. A reconciliation between our GAAP and non-GAAP measures, as well as a discussion of why we present non-GAAP financial measures, are included in the company's earnings press release that is available on AOI's website. Before moving to the financial results, I'd like to note that the date of AOI's second quarter 2025 earnings call is currently scheduled for August 7, 2025. Now, I would like to turn the call over to Dr. Thompson Lin, AOI's Founder, Chairman, and CEO. Thompson?
Thompson Lin : Thank you, Lindsay, and thank you for joining our call today. We are pleased to deliver first quarter results that were in line or better than our expectations. We continue to see strong demand in the CATV market and achieve the highest quarterly CATV revenue in AOI's history. During the first quarter, we continue to make progress on our data center business with three new design wins and exceeding hyperscale data center customers during the quarter. During the first quarter, we delivered a revenue of $99.9 million, which was in line with our current range of $94 million to $104 million. We recorded non-GAAP gross margin of 30.7%, which was above the top end of our guidance range of 29% to 30.5%. All non-GAAP loss per share of $0.02 was in line with our guidance range of a loss of $0.07 to break even. Total revenue for our data center products of $32 million increased 11% year-over-year, but was down 28% sequentially due to inventory digestion on one product by one of our customers. During the quarter, we began several new qualification efforts to support existing qualifications on energy products with several large hyperscale customers. Total revenue in our CATV segment was $64 million, which increased more than 6 times year-over-year and increased 24% sequentially, largely driven by continued shipment of our 1.8 gigahertz amplifiers for one of our major MSO customers. As we have discussed on our prior earning calls, our MSO customers are in the process of upgrading their outside plan networks so that they can support higher bandwidth in the return path direction and eventually enable DOCSIS 4.0. With that, I will turn the call over to Stefan to review the details of our Q1 performance and our overview. Stefan.
Stefan Murry : Thank you, Thompson. We are pleased to deliver results that were in line or better than our expectations in the first quarter. We started the year with a considerable momentum. Compared to Q1 of last year, our revenue more than doubled, and we expanded our gross margin by over 1,000 basis points. We also generated positive non-GAAP EBITDA in the quarter. We continued to see strong demand in the CATV market and achieved the highest quarterly CATV revenue in AOI's history during the first quarter. Further, we continued to make progress on our data center business with three new design wins with an existing hyperscale data center customer during the quarter. Looking ahead, we continue to believe that these positive long-term growth trends in both our CATV and data center markets will benefit our business. While we continue to closely monitor news of tariffs, in Q1, tariffs had no material impact on our financials. We do not expect a significant impact in Q2 based on what we know at this point. We are maintaining a posture of flexibility and vigilance. We are continuously assessing our supply chain and manufacturing operations with an eye towards minimizing tariff impacts. At OFC, we unveiled our near-term targets for adding production capacity for 800G and higher transceivers at our existing plant in Texas. I am pleased to report that we remain on track for these targets, which will culminate later this year with what we believe will be the largest domestic production capacity, expected to be approximately 40,000 transceivers per month or roughly 40% of our overall capacity for these advanced 800G optical transceivers. By mid-2026, we expect to be able to produce over 200,000 pieces per month, with the majority produced in Texas. Currently, we have already begun to order the equipment necessary to bring up production of our 800G at our current facility outside of Houston, and initial production capacity is on track to be shipping product later this summer. We believe that our largely in-house developed production automation capabilities uniquely position us to be able to rapidly scale manufacturing in the U.S., and we remain committed to offering our customers the option to purchase these products onshore. In addition, while we do utilize some imported components in our transceivers, many key components, like our laser chips, are already manufactured in the U.S. Importantly, in our 800G and 1.6 terabit transceiver designs, less than 10% of the value of the components used is currently sourced from China, and we have a pathway as we scale production to further reducing this China content ultimately to near zero. We are also in discussion with several key suppliers about onshoring their production to the U.S. to support a robust domestic supply chain. Our customers have indicated their need for a reliable domestic manufacturer of next-generation optics, and we continue to receive very positive feedback from them regarding our plans. As Thompson mentioned earlier, our Q1 highlights include delivering revenue of $99.9 million, which was in line with our guidance range of $94 million to $104 million, and non-GAAP gross margin of 30.7%, which was above our guidance range of 29% to 30.5%. And lastly, our non-GAAP loss per share of $0.02 was within our guidance range of a loss of $0.07 to break even. During the first quarter, we continued to deliver on our initiatives that we had previously laid out. We continue to believe that the long-term demand drivers for our data center business are strong, as our customers continue to build out their next-generation AI-focused data center architectures. We believe that we are uniquely positioned to benefit from these tailwinds, and our efforts are centered on fulfilling our customers' needs with high quality and speed. In our data center business, on the back of the announcement we made with Amazon in mid-March, we're working diligently to deliver the products which they are going to need to be qualified in their data center. We continue to expand the depth and breadth of our interactions with Amazon as we mutually look to expand revenue opportunities for AOI to reach the $400 million or more annually that it will take to fully earn the warrants that we agreed to in March. We saw impressive turnout at the OFC trade show, where we continued to engage in meaningful dialogue with our customers, particularly with some of our larger hyperscale customers, and demonstrated our next-generation technology, including CPO. Further, we received positive feedback from our 800G and 1.6 terabit product demos. We are active in building out our capacity to address 400G and 800G product demand, which I will touch on further in a moment, and we are seeing a growing demand for both of these products. In Q1, demand for certain 100G products unexpectedly surged in the quarter, which we believe may be related to tariff concerns. Our production capacity on these 100G products was limited by supply constraints as we worked to meet this increased demand. We are working with our supplier on these parts and expect partial recovery in Q2 and a full recovery by Q3, which will be positive for both our revenue and gross margin. We continue to make progress on customer qualifications on our 800G products and are being asked by several customers to expedite production earlier than previously requested, especially as we expect to bring U.S. production online in Q3 of this year. This demand pulling continues to increase our confidence in a second-half 2025 ramp for 800G. While immaterial to our overall revenue, we did record some revenue for our 800G products in the first quarter related to deliveries for customer qualification activity. Turning to our CATV business, as Thompson mentioned, after receiving a substantial order for our quantum bandwidth networking products from a top North American cable operator last quarter, our product shipments have begun to ramp. We are currently being deployed in multiple geographic markets by a major North American MSO, and new markets are being added regularly as technicians are trained and products are staged for deployment. Our Motorola housing style amplifier products are slated for full qualification and field trial this month, and forecasts for delivery of these products begin in June. This nearly doubles our available market from what we are seeing on only gain-maker style amplifiers. In Q2, we are balancing production to ensure we have sufficient stock of both types of amplifiers in the U.S. by late June. Lastly, during the quarter, we expanded our production capacity to further diversify our manufacturing capabilities and to add additional resilience to our business model. As a reminder, we currently have three manufacturing sites. One here in Sugar Land, Texas, where our headquarters is, one in Ningbo, China, and one in Taipei, Taiwan. As we mentioned on our last earnings call, we have been retrofitting our facility in Sugar Land, Texas, to accommodate new automated production equipment, which we plan to receive beginning in June. This equipment will be used for the production of both 800G and 1.6 terabit transceiver products, which we expect will be produced and delivered from Sugar Land beginning later this summer. During the fourth quarter, as I mentioned on our last call, we signed an agreement to lease an additional building in Taiwan, which we began outfitting in Q1 in order to increase production of our 100G, 400G, and 800G data center transceiver and CATV products there. As you may have heard me say at OFC, we expect to increase production in both our U.S. and Taiwan locations by eight and a half times by the end of the year, and we are dedicated to achieving this goal. We have already begun ordering equipment to enable this ramp. Turning to our first quarter results, our total revenue was $99.9 million, which more than doubled year over year and was essentially flat sequentially off a strong Q4 and was in line with our guidance range of $94 million to $104 million. During the first quarter, 65% of revenue was from CATV products, 32% was from data center products, with the remaining 3% from FTTH, telecom, and other. In our data center business, Q1 revenue came in at $32 million, which was up 11% year over year and was down 28% sequentially. The sequential decrease was due to seasonality as well as inventory digestion from one of our largest hyperscale customers. Also, as I mentioned above, demand for some of our legacy 100G products surged in the quarter, but supply constraints on one of the components used prevented us from fully delivering on this demand, and we are working to rectify the supply constraint as we move into Q2 and beyond. Looking ahead to Q2, we expect a sequential increase in our data center revenue. In the first quarter, 78% of data center revenue was from 100G products, 10% was from 200G and 400G transceiver products, and 10% was from 40G transceiver products. In our CATV business, CATV revenue in the first quarter was $64.5 million, which was up more than 6 times year over year and increased 24% sequentially. This significant increase is due to the continued ramp in orders for our 1.8 GHz amplifier products. In Q1, we were essentially at our manufacturing capacity for CATV production, given current production equipment and staffing, but we believe that our current capacity approximates demand from our customer base. Looking ahead to Q2, we expect a modest pullback in CATV revenue as we retool production to our Motorola-style amplifier products. Now turning to our telecom segment, revenue from our telecom products of $2.9 million was up 29% year-over-year and down 17% sequentially. Looking ahead, we continue to expect telecom sales to fluctuate from quarter to quarter. For the first quarter, our top 10 customers represented 97% of revenue, up from 92% in Q1 of last year. We had two greater than 10% customers, one in the CATV market, which contributed 64% of total revenue, and one in the data center market, which contributed 27% of total revenue. In Q1, we generated non-GAAP gross margin of 30.7%, which was above our guidance range of 29% to 30.5%, and was up from 28.9% in Q4 of 2024 and 18.9% in Q1 of 2024. The increase in our gross margin was driven primarily by our favorable product mix, including growth in our CATV revenue. Looking ahead, we continue to expect that our gross margin will improve further as we see the impact of manufacturing efficiencies in our CATV production and improving product mix. We remain committed to our long-term goal of returning our non-GAAP gross margin to around 40% and continue to believe that this goal is achievable. Total non-GAAP operating expenses in the first quarter were $35.5 million, or 36% of revenue, which compared to $24.8 million or 61% of revenue in Q1 of the prior year, primarily due to increases in R&D and G&A being driven by increased business activity. Looking ahead, we expect non-GAAP operating expenses to be in the range of $36 million to $40 million per quarter. Non-GAAP operating loss in the first quarter was $4.8 million, compared to an operating loss of $17.1 million in Q1 of the prior year. GAAP net loss for Q1 was $9.2 million or a loss of $0.18 per basic share, compared with a GAAP net loss of $23.2 million or a loss of $0.60 per basic share in Q1 of 2024. On a non-GAAP basis, net loss for Q1 was $0.9 million or $0.02 per share, which compared to our guidance range of a loss of $3.6 million to break even or a loss per share in the range of $0.07 to break even per basic share. This compares to a non-GAAP net loss of $12 million or $0.31 per basic share in Q1 of the prior year. The basic shares outstanding used for computing the earnings per share in Q1 were $50 million. For the full year, we expect to generate positive non-GAAP net income. Turning now to the balance sheet, we ended the first quarter with $66.8 million in total cash, cash equivalents, short-term investments, and restricted cash. This compares with $79.1 million at the end of the fourth quarter of 2024. We ended the quarter with total debt, excluding convertible debt, of $46.1 million, compared to $46 million at the end of last quarter. As of March 31, we had $102.3 million in inventory, which compared to $88.1 million at the end of Q4. The increase in inventory is primarily for raw materials needed for production of both CATV and data center products. As we disclosed in February, we initiated a new at-the-market offering. To date, we have raised $98 million net of commissions and fees under this new program. We intend to use these proceeds to continue to make investments in the business, including new equipment and machinery for production and research and development use, including the earlier mentioned production expansion in Texas. We made a total of $30.5 million in capital investments in the first quarter, which was mainly used for manufacturing capacity expansion for our 400G and 800G transceiver products. On our last earnings call, we discussed our plans to make sizable CapEx investments over the next several quarters as we prepare for increased 400G, 800G, and 1.6 terabit data center product production in 2025. For the year, we continue to expect between $120 million and $150 million in total CapEx. While these costs could be impacted from the tariffs, given the evolving nature, it is difficult to predict what type of impact or by how much. We will continue to do our best to minimize any impacts. In any event, it's clear to us that U.S.-based production is top of mind for our customers, and we remain committed to building out this capacity, with production expected to start later this summer. Moving now to our Q2 outlook, we expect Q2 revenue to be between $100 million and $110 million, accounting for a modest sequential decrease in CATV revenue and a sequential increase in data center revenue. We expect non-GAAP gross margin to be in the range of 29.5% to 31%. Non-GAAP net income is expected to be in the range of a loss of $4.8 million to a loss of $1.7 million, and non-GAAP earnings per share between a loss of $0.09 per share and a loss of $0.03 per share, using a weighted average basic share count of approximately 55.7 million shares. With that, I will turn it back over to the operator for the Q&A session. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions]. And our first question comes from Simon Leopold of Raymond James. Please go ahead.
Simon Leopold : Thanks for taking my questions. I first wanted to ask about your understanding of the channel inventory for your cable TV products. In other words, do you have some telemetry features that allow you to know when products are deployed versus sitting in a warehouse? I'm just trying to understand what's the risk or the knowledge of the status of the gear you've shipped. And then I've got a follow-up.
Stefan Murry: Yeah, we do have telemetry features that in principle could allow us to have access to that, but we have a more direct way of knowing. We get reports from the MSO involved and from our channel partner that account for that inventory. So, we have pretty good knowledge of where that inventory is. It's a higher level than we would normally expect. Clearly, given the evolving tariff situation, it's beneficial for us to have as much inventory as we can stateside in anticipation of the revenue ramp that we're seeing. So, it's an intentional inventory build-up there, but we definitely have insight into what level that is and what the future holds for that.
Simon Leopold : And so, let me just make sure this is clear. You're saying that there is a bit of an inventory build because of the tariff situation, but you're comfortable with your knowledge of that inventory level?
Stefan Murry: Yes, exactly. We know what the inventory level is. We know how much is coming out, how much is going in, where the demand is going. We even know where within the MSO's network, those products are being deployed.
Simon Leopold : And then, on the 800-gig trajectory, sorry, go ahead.
Stefan Murry: So, we already -- as we said, we have received the volume order from MSO, and a lot of them have been consumed. So, all of the remaining inventory we have now should be completely consumed by, I would say, sometime in Q3, so maybe like August. So, it's not a lot of inventory, okay? The inventory view is based on the customer demand, one of the biggest MSO's in the U.S.
Simon Leopold : And then on the progress with 800-gig, it sounds like you're still in kind of the qualification, modest, modest revenue in the first half of the year with a ramp in the second half. Could you help us think about how to quantify or model what that second half 800-gig contribution should be?
Stefan Murry: Well, as we noted earlier, by the end of the year, we expect to have capacity about 100,000 pieces a month of, either 800-gig or 1.6 terabits. The majority of that, the vast majority of that for us is likely to be 800-gig. So, you'll see a ramp from near zero now to something like that level by the end of the year.
Simon Leopold : But I guess rough math, Yeah, $0.75 a gig, that would be well over $100 million in a quarter, $100 million in a quarter. Am I doing something wrong in that thinking?
Stefan Murry: Yeah. So, that'll be about production capacity. That'll lag. Obviously, the deliveries will lag maybe a quarter or something like that on that, because we have some cycle time for actual deliveries. But you'll see a ramp, again, in the second half of the year up to that level.
Simon Leopold: Thank you, very much. And then maybe one last one, if I may. Are you manufacturing anything in China that gets shipped to the U.S. today? Any color on that? Thanks.
Stefan Murry: So, we're not manufacturing any products that have a country of origin China for tariff purposes. We do certain manufacturing operations there, but the ultimate country of origin is not China.
Operator: [Operator Instructions]. And our next question comes from Michael Genovese of Rosenblatt Securities. Please go ahead.
Michael Genovese : Thank you, very much. I guess my question on cable TV will be, can you flesh out retooling to Motorola-style amplifiers, so we can understand that a little bit better?
Stefan Murry : I'm sorry. I didn't quite understand your question. You said, can we flesh out the tooling? I'm not sure I understand what you're asking.
Michael Genovese : Yeah. I mean, I think you're saying that cable TV will be down sequentially because you're retooling to another style of product. And I just was wondering what that meant.
Stefan Murry : Yeah, sure. So, it just means that -- so, we've produced a significant amount of product for the gain maker platform. As Thompson mentioned, that will be consumed pretty quickly. But we have sufficient inventory of that right now for the near future. So, during this quarter, during Q2, we're shifting our production to primarily the Motorola style, which, as I noted in our prepared remarks earlier, we're expecting the final field trial qualification really imminently in the next few weeks. So, then we'll ship that product out. So, that way, we'll have a significant inventory of both products stateside by the end of June.
Michael Genovese : And then for those that would kind of push back and say, by the time you have volume of 800G in the second half of the year, others in the industry will be moving on to focusing on 1.6 and sort of why or why not that you're intersecting the market in a good place where it's going to grow for some time rather than coming in too late. Can we get your view and the data that you're looking at on the kind of long-term 800G market from the time you enter for several years forward, what you think the market's going to look like?
Stefan Murry : Yeah. I mean, look, the market is enormous for 800G. And it's going to continue to grow based on what we're hearing from our customers. 1.6 terabits is a product that is starting to come out now and will ramp as well. But that doesn't take away from the growth prospects that we're seeing and hearing from our customers for 800G.
Thompson Lin : Well, let me emphasize. Remember, we just signed the deal with Amazon. And as we say, it's about maybe, I would believe, much more than $4 billion in the next 10 years. The main focus, 800G for sure, we'll submit $4 billion, too, from Q3, the environment picture, and then go to 1.6T. For 1.6T, right now, the only big volume we believe is only for NVIDIA, maybe later on from Google. That's it. But not for customer. We have the customer we have right now, they are not really buying 1.6T transceiver.
Michael Genovese : Finally, for me, thanks for that. Finally, for me is just, are there any other ways of approaching the CapEx needs of the company outside of the ATM? Or is that really going to be the key mechanism to raise the funds?
Stefan Murry : Well, we announced just a moment ago that we substantially completed the ATM, $98 million net of fees, so that's basically the $100 million gross. We haven't announced plans for any other future fundraising.
Thompson Lin : So, don't forget very aggressive working with customers and potential customers for potential strategy investment. We are still looking for some other solution for any. [Indiscernible] But as we said, we believe, we still believe we'll be profitable this year and, in the season, we have delivered positive EBITDA. So, operation cash flow should be positive. So obviously, you need to raise money just for the CapEx because we need to increase the capacity very fast, especially for 800G, 1.6T, for the strong demand from the customers, especially like Amazon. And we still believe we become their major supplier. I would say maybe, I would say one year, 400 years and higher, and that's why a lot of things going on. But quality is still the key issues. So that's why, with AI demand, we need to go through step by step. But right now, I think so far, so far, we have accommodated.
Operator: The next question comes from Tim Savageaux of Northland Capital Markets. Please go ahead.
Tim Savageaux : Good afternoon. Looking at what you discussed at OFC in terms of capacity additions, looks like you've got some additions planned. You talked about 400 gig earlier in the year, but 800 gig in Taiwan here in May and June. Would you expect to be able to deliver material 800 gig revenue in Q3? And I guess by material, I mean, say tens of millions?
Stefan Murry : Well, I mean, I won't comment on the exact magnitude, but it's certainly material revenue from 800 gig in Q3, yes.
Tim Savageaux : And obviously, relative to what you announced in the warrant agreement, I mean, that capacity that you're ramping to would seem to be 100% occupied by Amazon. And of course, you look to be going beyond that. But I wonder if I could ask you about your opportunities with other major cloud provider customers, and specifically, whether the design wins you mentioned in the quarter, should we assume that that's with Amazon or with other potential customers?
Thompson Lin : Those design wins, none of them were with Amazon in this quarter. They were with other hyperscale customers. And I mean, to kind of get at your question more directly. What I think you're asking is, do we think we have significant opportunities with other hyperscale customers? The answer is absolutely yes. I mean, we've had very productive discussions with other customers, other data center customers, hyperscale customers besides Amazon. We think that the uncertainty around tariffs gives the U.S.-based production that we're adding an advantage. I mean, I think all of the hyperscalers that we've talked to have been very excited about the prospect of being able to purchase at least a portion of their supply from a domestic supplier, just for continuity's sake, for security of supply chain. We already make the lasers here. They like the idea that we can assemble transceivers here as well.
Stefan Murry : And now, not the only invoice size is the PAA. That is a requirement. If you are doing business with U.S. government, you cannot manufacture in Thailand, Malaysia, China. So, we PAA right now is one of very few transceiver suppliers are meeting PAA requirement. We manufacture either in Taiwan or in Houston. And that's another key, especially for high-end transceiver products, for a space for AI.
Tim Savageaux : And going back to the design wins, I think you'd mentioned there were three with one existing hyperscale customer. Can you say whether those are 800 gig design wins?
Stefan Murry : None of them were 800 gig.
Thompson Lin : We assembled -- there were other qualifications. We assembled hyperscale data center. Let me say that. Going now, when we say design win, we need to go through three phases. So, right now, for some products, some customers, we are doing in the final phase, that means you need to deliver something like a few thousand or 10,000. And you need to put it in data center for final qualification for one month and make sure quality is okay. Then you start looking into volume delivery. But for the lab qualification, we have tests already. So, for a few simple customers, simple product, we are in the final qualification phase. Or you can say it's the final phase, okay?
Stefan Murry : Which is why we talked about having some revenue, not big material revenue, but some revenue for 800 gig in the quarter.
Thompson Lin : No, but you're not so bad, okay? Still like maybe 5,000 piece or 10,000 piece, okay? So, it's not like 100 or 200 piece, okay?
Tim Savageaux : And Stefan, you kind of alluded to it, but my last question was going to be, I guess, around what sort of share you think that agreement at Amazon gives you relative to their total consumption?
Stefan Murry : Well, I think, as Thomson mentioned a few moments ago, our belief, our expectation, is that we can grow to be, the largest supplier of 800G and faster, higher data rate optics for Amazon. Now, that's not guaranteed by any means, but I don't see any reason why we couldn't be there. And that would imply a market share; typically, they're going to have two or three suppliers, so that would be, maybe 30, maybe even up to 40%.
Thompson Lin : What's fair right now is tariffs, and as I said, TAA, T is very important. As I said, especially for high-end AI transceiver, and that's why I say we are much more competent. I cannot say 100%, but personally, I believe more than 90% or 95% of AI will become the major supplier for Amazon, including other hyperscale data centers, which I would say by sometime next year, Q2, Q3, I would say more than 40% might be shared.
Tim Savageaux : Great. Thanks very much.
Operator: The next question comes from Dave Kang of B. Riley FBR. Please go ahead.
Dave Kang : Thank you. Good afternoon. First question is regarding the inventory digestion situation. Just wondering if that was 400 gig, and do you expect that to recover in the second quarter, or how long will that go on?
Stefan Murry: Yes, it was 400 gig, and yes, we expect it to largely resolve in the second quarter.
Dave Kang : Got it. And then just on the margin situation, what's the margin differential between cable TV and data center transceivers, and is there any difference between 400 gig and maybe 800 gig when you start to ship next quarter?
Stefan Murry: I'm sorry. Your first question was about the margin difference between...
Dave Kang : Yes, cable TV and transceivers.
Stefan Murry: Yes. So, I mean, the margin on cable is somewhat higher. It varies a little bit, based on product mix within the data center market. I mean, the cable market, relatively speaking, has a lot less product diversity in there. There's just a few products versus data center, which has a lot more. So, the mix affects the data center overall margin a little bit more. But it's anywhere from, I would say, I don't know, 300 basis points, 400 basis points to maybe 600 basis points higher for cable right now. And we expect the cable will expand as we continue to wring efficiencies out of our manufacturing process. Data center will expand. The margin there will expand based on somewhat on economies of scale, but more likely on the transition to 800 gig and eventually 1.6 terabit.
Dave Kang : And then just regarding your 800 gig qualification status, can you just remind us how many you got going? And it sounds like they've been going on for a while, right? I mean, at least the last summer, so maybe, I don't know, eight, nine months. Is that kind of a typical process? And in your prepared remarks, you talk about you got some new qualifications. So, should we expect similar eight to nine months or any thoughts on that?
Stefan Murry: I think the number of qualifications, I don't have the exact number in hand, but it's more than five, less than 10, I would say, somewhere in that range. I'd have to get the exact number for you. As Thompson mentioned, it's a multi-stage process. We're pretty strict about when we qualify a design win or when we report a design win, and it requires full qualification, an order from the customer, and a forecast that continued orders will be ongoing, right? And so, we're somewhere in that process between finishing up the qualification, as Thompson mentioned, as multi-stage qualification, and actually logging the design win. So, we'll have more to report back once we have those design wins in place, but let's just say we're feeling very, very good about the progress that we're making with the customers on 800 gig. It's going quite well.
Thompson Lin : Usually, there are three phases. The first one is called third party, all right? We test them, and then the customer, we have some kind of much bigger volume of in-house interoperability qualification. We test some of them already. As I said, [Indiscernible], the last one is usually you need 5,000 or even 10,000, 20,000 transceiver to do the final phase of qualification in a data center for at least one month. That makes you almost no failure, okay? Because as I said, right now with AI, the requirement for quality is really, really high, much higher than that two, three goal for the transceiver.
Dave Kang: And my last question is, you talked about Texas versus Taiwan. Transceivers coming out of Texas versus those from Taiwan. What do you think the margin differential will be?
Thompson Lin : I mean, I think there's a good chance the margins in Texas will be higher, actually. I think the profit will be higher, okay? Because customers are willing to pay, I would say, 10% higher, or even 15%. Same with tariff, I think, it'd be much cheaper than tariff. So, based on current, it could be the lowest cost in manufacturing in Houston. You don't forget the key is automation, all right? And we are almost fully automated for energy. So, it'd be the demo qualified in Linpo and in Taiwan in this quarter. U.S. was sometime in Q3.
Dave Kang: Got it. Thank you.
Operator: At this time, we have no further questions, and I will turn the call over to Dr. Thompson Lin for any closing remarks.
Thompson Lin : Okay, thank you for joining us today. As always, we want to extend a thank you to our investors, customers, and employees for your continuous support. As we discussed today, we believe the fundamental driver of long-term demand for our business remains robust, and we are in a unique position to drive value from this opportunity. We look forward to seeing many of you at upcoming investor conference. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation, and you may now disconnect.